Operator: Greetings, and welcome to Chatham Lodging Trust Third Quarter 2017 Earnings Conference Call. At this time all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn that conference over to your host, Patrick Daly. Thank you, sir. You may begin.
Patrick Daly: Thank you, Sheri. Good morning everyone, and welcome to the Chatham Lodging Trust third quarter 2017 results conference call. Please note that many of our comments today are considered forward-looking statements as defined by Federal Securities Laws. These statements are subject to risks and uncertainties, both known and unknown, as described in our most recent Form 10-K and other SEC filings. All information in this call is as of October 31, 2017, unless otherwise noted. And the company undertakes no obligation to update any forward-looking statement to conform the statement to actual results or changes in the company's expectations. You can find copies of our SEC filings and earnings release, which contain reconciliations to non-GAAP financial measures referenced on this call, on our Web site at chathamlodgingtrust.com. Now to provide you with some insight into Chatham's 2017 third quarter results, allow me to introduce Jeff Fisher, Chairman, President, and Chief Executive Officer; Dennis Craven, Executive Vice President and Chief Operating Officer; and Jeremy Wegner, Senior Vice President and Chief Financial Officer. Let me turn the session over to Jeff Fisher. Jeff?
Jeff Fisher: Okay, Pat, and good morning everyone. Glad to be here again as always. I'd like to just step back for a minute and briefly reflect on the past few months overall environment and particularly I have to talk about weather a little bit, but quite a few of our hotels and a number of our employees and guests have been impacted by hurricanes, flooding, and even the fires out West. The devastation was unimaginable, including for some of our employees. Despite all this, our employees showed tremendous courage and dedication tending to their hotels and their guests, and I'd like to thank the hundreds of our employees in our hotels around the country and in our corporate officer here who dealt with very trying conditions and circumstances working to protect our assets, and most importantly, serve our valued customers and guests. Thankfully our hotels escaped any major damage. Our Savannah and Fort Lauderdale hotels were evacuated for a few days, but other than that our hotels remained open through the disasters, and accordingly our results were actually better by the increased demand for lodging in our Houston and Florida locations. So with that as a backdrop, I'd like to switch to talk about the quarter a little bit. We're excited about our strong quarter results and updated guidance, which raises the midpoint of our full-year guidance as we exceeded the upper end of our range in the third quarter, and raised our fourth quarter numbers. In addition, we added another superior quality hotel to our portfolio with the acquisition of the Hilton Garden Inn in the history downtown waterfront community of Portsmouth, New Hampshire. Great hotel, we'll talk a little bit more about that. On our second quarter call, we talked about our four-pronged strategy to build value for our investors. One, to recycle capital and acquire assets, and we're down that road. Continue to look and increase the utilization of our existing assets where we already own the land, and have invested in the infrastructure and try to accrete significant value to a hotel by adding either another hotel or rooms through expansion or redevelopment of the property. Three, [technical difficulty] a hotel or two on a very select and limited basis in the kind of markets that you've grown accustomed to us being in, well thought-out, well researched and understood markets, usually in markets that are managed when companies operating in that have outsized and I have identified outsized demand generators in those markets with some barriers to entry to new supply. And then four, continue to reinvest in our existing assets through the cycle of course, not only to renovate, but to upgrade and provide the experience today's traveler wants. And usually that also includes incorporating features that millennials want, but we also see that in our select service and upscale extended stay hotels the addition of small bars in that lobby area, and we've done that on one or two occasions so far, have generated some good incremental profit to the bottom line, particularly because the focus of course is on the beverage, not extensive food service. We believe the four-pronged approach exemplifies what we're currently doing and on a go-forward basis. We're moving forward with recycling initiatives, and we've had agreements, as we've talked about, to sell two hotels for $80 million. Unfortunately, at the end of the quarter, we were notified that the pending sale of one of our hotels was not going to occur as the loan servicer did not approve the assumption of the loan by the buyer. That was a surprise to us obviously. The sale of the second hotel, to a different buyer, is still in process, and we are in negotiations also to sell a different hotel, another hotel. We intend to use any sales proceeds to acquired newer assets. We've identified two hotels that we'll fully reinvest the proceeds from the second sale that is still alive, and the hotels match up with our strategy of acquiring premium-branded upscale extended stay hotels, like Residence Inns and select service hotels, like Marriott Courtyards in markets that have a higher demand growth quotient than in the industry or the norm. Despite not completing the sale of one of the hotels, we continued with the $43 million acquisition of the Hilton Garden Inn, in Portsmouth, New Hampshire. This is a phenomenal hotel in a great location, and we think a very strong complement to our portfolio, and an enhancement to our overall NAV. Third quarter RevPAR was up 2.1% in that hotel, to $227. Yes, that a RevPAR number, not an ADR number. And that absolute RevPAR would've been second-highest in our portfolio. I believe only one of our hotels in Silicon Valley would've been a few dollars ahead of that number. It's a market that benefits from a multitude of demand generators, corporate leisure and government. And the city recently has changed their zoning requirements, and actually developed some strict new development standards and parking standards relative to the addition of new supply we think it will be limited and is more limited in Portsmouth than before. This is going to be a great asset for us, as I said. And I think already we are running a little bit ahead of our budget that we set for the fourth quarter. We're confident in our ability, as I said, to sell assets in challenged markets and acquire hotels that are younger, have better growth prospects, and will generate cash-on-cash returns. And we'll be able to increase our earnings by this activity through the increased yield and increased NAV with better assets in markets that have greater or faster growth than our overall portfolio growth. That's the goal. As we follow through on our strategies, given our lower cost of capital, we were comfortable raising a bit of money that we could use to acquire assets or fund some of our other initiatives. And since June 1, we issued approximately $40 million under our ATM and direct stork purchase plans. With the one sale falling through, actually this turned out to be very, very positive for us in terms of the issuance through the ATM, we were able to fund almost the entire Portsmouth purchase price using equity which was accretive and de-leveraging at the same time. With that, I'd like to turn it over to Dennis for a little more detail.
Dennis Craven: Thanks, Jeff. Good morning. We had a great quarter with FFO per share of $0.68, finishing above the upper end of our range of $0.63 to $0.67. RevPAR rose 1% for the quarter, which was right at the upper end of our guidance range. And the 1% increase in RevPAR was equally attributable to gains and occupancy of 50 basis points, to 85%, and REIT of 50 basis points to $173. Within the quarter, RevPAR was flat basically through the end of August. And September RevPAR rose 2.9% aided by the increased demand in Houston and Florida related from the impacts of Hurricane Harvey and Irma. Peeling back the onion into some of our specific markets, RevPAR in Silicon Valley was up almost 1%, to $202 entirely attributable to occupancy, which rose to 87% as we share-shifted [ph] some of our key corporate business to give us more consistency throughout the shoulder and weekend nights. Another strong tech-driven market for us is Bellevue, Washington, and our Residence Inn saw RevPAR grow almost 3%, to $201 as we benefited from a strong intern program over the summer despite a delve market that has seen a 10% increase in new supply in 2017. San Diego was in a market that was inundated with new supply over the past couple of years, however, thanks to strong city-wide events and strong laser demand, the market fits pretty resilient. So far in 2017, demand growth of 2% has doubled supply growth of 1% in the Greater San Diego area, our three San Diego hotels our RevPAR raised almost 3% in the quarter. As we all know this has been a challenging lodging market, we all know the devastation from Hurricane Harvey that occurred in the area. Thankfully all four of our wholly owned hotels that three of our hotels that we own within the Inland joint venture reported and up to remain relatively scale and not sustain any significant damage. Accordingly, our hotels are able to absorb this significant demand for hotel accommodations and our four hotels in Houston saw RevPAR rise 13% in the quarter. As we look forward, we expect our hotels to have a strong fourth quarter with RevPAR projected to grow approximately 20% and if you look past the fourth quarter into 2018, it's still pretty unclear at this point what that demand is going to look like that we do know that superstorm Sandy generally that area and the industry for about nine to 12 months. There certainly is a tremendous rebuilding effort that is going to occur in the foreseeable future which should be a tailwind for lodging and the Greater Houston area. Some other notable markets for us are Florida hotel experienced the RevPAR gain of 8% in the quarter, RevPAR in Washington DC saw a bottom residence grew over 6% and Marina Del Rey, our Hilton Garden Inn continues to be a strong market for us with RevPAR rising approximately 7% in the quarter. The lodging industry remains healthy despite no major economic growth, nor any tax reform coming out of Washington. Third quarter RevPAR for the industry was up 1.9% with three-fourths of that gain attributable to rate and fourth attributable to occupancy. Industry-wide demand continues to benefit this sector with supply of 1.9% while demand jumped 2.4% of the quarter. Year-to-date demand growth has outpaced supply growth by approximately 70 basis points. As we've spoken about in the past new supply growth has really been focus in our up CL asset class and year-to-date new supply has risen 6% in the upscale segment that was mostly offset by demand growth of 5.5% for the year. Island Hospitality's revenue management function is really performing well. We continue to gain market share, so we can get some fact performance in real GDP growth we can certainly see another upswing in RevPAR. In addition to revenue management we're dedicating more time and resources to analyzing profitability and determining way to reduce cost and minimize increases in certain categories. For the quarter, our operating profit margin down 130 basis points to a still very strong 49.3% and our hotel EBITDA margins only declined 100 basis points to 42.7% which was 20 basis points higher than the upper end of the guidance range for the quarter and still best among all lodging companies. Our biggest challenge has been finding and keeping qualified labor, especially in housekeeping. And certainly this is not just a Chatham issue, but an industry one. Since last year, we have been proactively adjusting page to ensure that we are fairly compensating our associates on a per occupied room basis. Our rooms labor cost has raised approximately 3% year-to-date, yet only 2% in the quarter. So, at least on a comparable basis, that trend improved slightly in the third quarter. In the quarter, our earnings costs were up approximately $400,000 and impacted our margins by approximately 50 basis points. Really that part is attributable to wage increases. So, the main driver was incremental cost attributable to strong clean up and fair order necessary to keep the rooms in service following that hurricane inflating. GA commissions and guest reward costs were flat year-over- year, and approximately 4% of revenue for the quarter and also year-to-date. Our 2017 capital expenditures budget of $27 million remains in line with our expectations and our innovations are proceeding as planned. With that, I'll turn it over to Jeremy.
Jeremy Wegner: Thanks, Jeff. Good morning everyone. For the quarter, we reported net income of $14.5 million or $0.36 per diluted share compared to net income of $13.4 million or $0.35 per diluted share in Q3, 2016. The primary differences between net income and FFO related to non-cash cost depreciation, which was $10.9 million in the quarter, one-time gains or losses, and our share of similar items within the joint ventures, which were approximately $1.7 million in the quarter. Adjusted FFO for the quarter was $27 million, compared to $27.5 million in Q3 2016, a decrease of 1.8%. Adjusted FFO per share was $0.68 per share, which represents a decrease of 4.2% from the $0.71 per share generated in Q3 2016. Adjusted EBITDA for the company declined 0.3% to $37.2 million, compared to $37.3 million in Q3 2016. In the quarter, our two joint ventures contributed approximately $4.9 million of adjusted EBITDA, and $2.9 million of adjusted FFO. Third quarter RevPAR was up 4.1% in the Inland portfolio, and down 1.5% in Innkeepers' portfolio. The strong performance of the Inland portfolio is largely attributable to the significant amount of renovation that was completed on that portfolio in 2016, and weaker performance of the Innkeepers' portfolio was primarily due to the disruption caused by renovation occurring in that portfolio in 2017. Our balance sheet remains in excellent condition. Our net debt was $593 million at the end of the quarter, and our leverage ratio was 39.5%. In Q3, we issued 614,000 shares under our ATM and direct stock purchase plans, which generated $12.7 million of proceeds. We used the proceeds from the share issuance to help fund the $43.5 million acquisition of the Hilton Garden Inn in Portsmouth that we completed on September 20. Transitioning to our guidance for Q4 and full-year 2017, I'd like to note that it takes into account the anticipated completion of the renovations of the Homewood Suites Bloomington, Minnesota, and the Homewood Suites Brentwood, Tennessee, which commenced in Q3 -- in Q4, and the commencement of the renovation of the Residence Inn San Diego, Mission Valley in Q4, with the anticipated completion in Q1 2018. We expect Q4 RevPAR growth to be minus one to plus one, and full-year 2000 RevPAR growth to be up 0.3% to 0.8%. For the full year, our RevPAR guidance assumes the current trends of moderate GDP growth combined with above average new supply in the upscale segment will continue for the rest of 2017. On a pro forma comparable same-store basis, including the Hilton Garden Inn Portsmouth, 2016 quarter-by-quarter RevPAR was $123 in the first quarter, $141 in the second quarter, $145 million in the third quarter, and $118 in the fourth quarter, and $132 for the 2016 full year. Our full-year forecast for corporate cash G&A is $9.1 million. On a full-year basis, the two joint ventures are expected to contribute $16 million to $16.2 million of EBITDA, and $7.9 million to $8.1 million of FFO. As a result of our share issuance, our weighted average fully diluted share and unit count is now expected to be $41 million in Q3, and $39.7 million for the full year. The incremental share from the equity issuance are not expected to reduce our FFO per share because we fully deployed the proceeds into the acquisition of the Hilton Garden in Portsmouth. I think at this point, operator, that concludes our remarks, and we'll open it up for questions.
Operator: Thank you. At this time we'll be conducting a question-and-answer session. [Operator Instructions] Our first question is from Gaurav Mehta from Cantor Fitzgerald. Please state your question.
Gaurav Mehta: Yes, hi, good morning.
Jeff Fisher: Good morning.
Gaurav Mehta: Just couple of questions, I was wondering if you could provide some color on dispositions on the asset -- that sale that didn't go through, if you're still looking to sell that asset or any additional asset this year.
Dennis Craven: Yes, I mean I don't think we're in position at this moment, Gaurav, to name the asset that we're going to sell that was terminated yet because we're still looking at potential options there, although we're not looking -- we don't think there's anything anytime soon for that asset. I was a West Coast asset. I think we've talked about that before. And looking to think as we kind of digest determination of the sale will determine what we want to do going forward. And then Jeff alluded to another asset that we are in negotiations regarding the sale, and that kind of fits the same dynamics. Another West Coast asset that we believe is, at least for us is the right time to put it on the market.
Gaurav Mehta: Okay. And I think in your prepared remarks you also mentioned that you've identified the hotels to acquire. I was wondering if the acquisition of new hotels is that contingent upon your selling the hotels or you would be able to acquire without selling as well?
Dennis Craven: It's not going to be contingent on us closing on the sale of that deal. We do have agreements to acquire two hotels out in the future. So certainly we're still planning to close on those regardless of how that second, whether that closes or not.
Gaurav Mehta: Okay, thank you. That's all for me.
Operator: Our next question is from Anthony Powell with Barclays. Please state your question.
Anthony Powell: Hi, good morning guys. Just follow-up to that question, so I think your net-debt-to-EBITDA ticked up a bit to six times as a result of the acquisition. As you acquire more hotels how committed are you to getting that back down to maybe under six or is that not necessarily a target for you?
Jeremy Wegner: I'd say we like that range. The six times was a tad inflated because it doesn't reflect the full-year impact of the Portsmouth hotels. If you were to add in kind of a full-year impact of EBITDA that six times is more like 5.8. So it's kind of in the range we've been at for a while and in a range where we're generally comfortable.
Anthony Powell: Got it, thanks. And in terms of the fourth quarter guidance, how much EBITDA from Portsmouth is included in the fourth quarter? And also, what's the RevPAR impact of the renovations in the fourth quarter?
Jeremy Wegner: EBITDA from Portsmouth in the fourth quarter is about $800,000. Yes, on the renovation side, I wouldn't factor in more than kind of 30 to 40 basis points in terms of total RevPAR. But if -- you obviously follow us, Anthony, we pretty much in having one to two hotels per quarter under renovation for kind of the past year-and-a-half. So from a comparable basis year-over-year it should be a relatively neutral impact on overall RevPAR growth.
Anthony Powell: Got it. I guess a follow-up to that, given you guys did 1% RevPAR growth in the third quarter -- third quarter RevPAR was 1%, and you have Houston with the benefit of Harvey for the full quarter theoretically. So I would've thought that maybe there would've been a slight acceleration overall RevPAR growth in the fourth quarter given the counter shifts and the Houston benefits. Are there any kind of one-off impacts that are maybe headwinds in the fourth quarter?
Jeff Fisher: No, not really. I mean, certainly -- for the fourth quarter, our Houston hotels are benefiting our overall RevPAR by about 150 basis points in the quarter. That was about 80 basis points in the third quarter, so we are getting an acceleration in the benefit that we're deriving from those. Anyhow, and quite frankly, listen I think for the balance of the portfolio we are comfortable with the range we provided. If we happen to outperform that's great.
Anthony Powell: Right, understood. And in terms of supply growth for your markets, when do you think supply growth peaks for your markets on a kind of weighted average basis?
Jeff Fisher: Well, for us, I mean I think it's interesting for us for the fourth consecutive quarter if that trend has gone down slightly. However we will say that in looking at all the reports that are available, whether it's PKF or Smith Travel, at least if you look at the pipeline going out planning and under construction, it appears that that's going to tick back up in 2018. Now who knows whether all those items -- all those hotels get built, and who knows about the timing of stuff of when it's going to start. So it looks like that's going to tick back in a couple of quarters, but for now it's, for us, it's been four consecutive quarters on a slight decline.
Anthony Powell: Okay, all right. That's it for me. Thank you.
Jeff Fisher: Thanks, Anthony.
Operator: Our next question is from Bryan Maher with FBR. Please state your question.
Bryan Maher: Good morning guys. I just wanted to clarify the Houston thing. I think I caught it that you said you expect RevPAR at your hotel to be up 20% in the fourth quarter there?
Jeff Fisher: Correct, yes. 21% for the four Houston hotels, and that should benefit our overall portfolio by about 150 basis points.
Bryan Maher: Okay. And again clarifying, you said the Superstorm Sandy lag was about nine to 12 months, and you think that this would be similar to that? And how do think…
Jeff Fisher: [Indiscernible]
Bryan Maher: Well, how do you think it phases out?
Jeff Fisher: Yes, listen, I think we would tell you that based on conversations we have every day with our operators, they're pretty comfortable with looking out through the end of the fourth quarter. After that I think whether you -- what you've got is you've got a lot of, whether it's consultants, you have what I would almost term kind of white-collar related business from the interns and adjusters and everything like that that are in the market now. That will shift at some point to, whether that's construction crews, people there for -- subcontractors, still displaced homeowners that'll be there for a while. So our operator is not willing to go out there too far yet on '18 and say, yes, we see a benefit through the first three or six months yet. That's purely for reference from what our experience was on Superstorm Sandy.
Bryan Maher: And what do you think the split is between residents and contractors?
Jeff Fisher: Well, for us I mean I think right now we haven't had a whole lot of displaced homeowners or contractors. For us it's been mostly adjustors and other types of people in the area and professionals. I think that does shift a little bit as we move forward for our hotels. But as far as what the mix is now, we don't have that information.
Dennis Craven: But the contractor business is probably lower rated business that for the most part will go elsewhere.
Bryan Maher: Got it. And then can you just give me the quick update on your Western PA hotels?
Dennis Craven: Yes, actually there's two -- well, we actually have three. But if you look at our Springhill Suites in Washington, PA, was actually one of our top performers in the quarter from a RevPAR perspective, with RevPAR up 12%. There was actually a little bit of incremental business that came into the market over the summer. Now the Courtyard in Altoona, Pennsylvania was our worst performer, with RevPAR down 22%. And in that market I think that we've talked about for the last couple of quarters, they just opened a two-pack -- a Marriott-branded two-pack in that market earlier this year. So that Courtyard is just getting severely impacted by that new Marriott two-pack.
Bryan Maher: Okay, thank you.
Dennis Craven: Thanks.
Operator: Our next question is from Tyler Batory with Janney Montgomery Scott. Please state your question.
Tyler Batory: Thanks. Good morning. So just follow-up on the revenue management, can you just give an update on customer acquisition costs? And then curious any trends you're seeing with the OTA business in your portfolio?
Jeremy Wegner: Yes, for us, Tyler, it's been I think now four consecutive quarters where those costs have essentially been flat. It's right at 4% of revenue. It's a trend that at least for us has been good for us, because before we were experiencing kind of a 20 to 30 basis point increase for a good year-and-a-half. So for us it's still maintained relatively flat, and that's a combination of obviously the lower commission structures within those agreements, but hopefully also traffic that is going to brand.com as well.
Tyler Batory: Okay, great. And then just on Silicon Valley, can you talk about how RevPAR there came in versus your expectations for the quarter. And I'm not sure if you have any update on the development project out there as well?
Jeff Fisher: Sure, yes, RevPAR for us for the four Silicon Valley hotels was up almost 1%. And quite frankly, that was pretty much right on with our expectations for the quarter. Fourth quarter RevPAR is projected to be around flat for the four hotels in Silicon Valley. So again, we're not expecting anything significant one way or another on the good side or the down side. The developments we're still proceeding with, with those redevelopments in Silicon Valley, we have for the first of the two locations, we're in the process of finalizing bid documents to go out and get updated pricing. So hopefully by the time we talk again in our fourth quarter call and provide guidance for 2018, we should have a pretty good understanding of where the first of those two stand.
Tyler Batory: Okay, great. And then last from me on the Portsmouth acquisition here, could you talk a little bit more about if there is any low-hanging fruit on the operations side, just already an asset that's operating at high level, and then also not sure if you can discuss more about just potential synergies between this property and some of the others in that market there?
Jeff Fisher: Yes, I mean, I think we believe it was being run fairly well when we acquired it. I think certainly we're going to -- and Island is going to do their magic and I'm sure to get a few things that are going to improve the performance there. And we would accept that to occur. There are potential synergies in the area related to you know, are also having an interest in the Homewood Suites that they are unfortunate as well as [indiscernible] there. In fact, our GM that was out at Homewood Suites is now the GM at the Hilton Garden Portsmouth and that knowledge and the ability to run those two hotels almost as one should be pretty beneficial. And that's not just at the GM level, but certainly from a sales and engineering perspective.
Tyler Batory: Okay, great. Very helpful, thank you.
Operator: [Operator Instructions] Our next question is from Anthony Powell with Barclays. Please take your question.
Anthony Powell: Hi, just a follow-up from me. Jeremy, do you have the first half '17 pro forma RevPAR numbers including Portsmouth?
Jeff Fisher: The first half of '17, I would need to look those up and give those to you. We'll take that probably offline.
Anthony Powell: Got it. Great, all right. Thank you.
Operator: Ladies and gentlemen, we have reached the end of the question-and-answer session. I would like to turn the call back over to management for closing remarks.
Jeff Fisher: Well, thanks everybody again. We appreciate the questions. We're looking forward to a good fourth quarter here and the execution of our forefront strategy that I talked a little bit and we're excited honestly about the ability to source the deal like Portsmouth, New Hampshire, and end up with kind of results that we got good going in yield, great growth, some enhancement on the operating side as Dennis was talking about, and we will continue to move down that kind of road, hopefully will get that one asset sold here and closed in the fourth quarter that we have been talking about. And will continue to move on in a positive way. Have a nice day. Thank you very much.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.